Operator: Good morning and thank you for joining us for RPC, Incorporated First Quarter 2020 Financial Earnings Conference Call. Today’s call will be hosted by Rick Hubbell, President and CEO; and Ben Palmer, Chief Financial Officer. Also present is Jim Landers, Vice President of Corporate Finance. At this time, all participants are in a listen-only mode. [Operator Instructions] I would like to advise everyone that this conference call is being recorded. Jim will get us started by reading the forward-looking disclaimer.
Jim Landers: Thank you and good morning everyone. Before we begin our call today, I want to remind you that in order to talk about our company, we’re going to mention a few things that are not historical facts. Some of the statements that will be made on this call could be forward-looking in nature and reflect a number of known and unknown risks. I’d like to refer you to our press release issued today, along with our 2019 10-K and other public filings that outline those risks. All of which can be found on RPC’s website at www.rpc.net. In today’s earnings release and conference call we’ll be referring to several non-GAAP measures of operating performance. These non-GAAP measures are adjusted net loss, adjusted loss per share, adjusted operating loss, EBITDA, and adjusted EBITDA. We’re using these non-GAAP measures today because they allow us to compare performance consistently over various periods of time without regard to non-recurring items. In addition, RPC’s required to use EBITDA to report compliance with financial covenants under our revolving credit facility. Our press release today and our website contain reconciliations of these non-GAAP financial measures to operating loss, net loss and loss per share, which are the nearest GAAP financial measures. Please review these disclosures, if you are interested in seeing how they are calculated. If you have not received our press release for any reason, please visit our website again at www.rpc.net for a copy. I will now turn this call over to our President and CEO, Rick Hubbell.
Rick Hubbell: Jim, thank you. This morning we issued our earnings press release for RPC’s first quarter 2020. During the first quarter, we generated improved financial results due to more streamlined operations, including a smaller geographic footprint. We were particularly pleased with the progress and pressure pumping as this service line worked efficiently during the quarter for several high utilization customers. Activity improved during the first quarter as we were awarded favorable incremental work and existing customers resumed operations after the fourth quarter seasonal slowdown. Unfortunately, the combined impacts of the OPEC disputes and the COVID-19 pandemic overshadow our first quarter improvements. In response to the pandemic, RPC instituted strict procedures to ensure the health and safety of our employees, customers, and vendors while in our facilities or on operational locations. As March progressed, our customers began to cancel current and scheduled drilling and completion activities, in some cases while the operation was underway. By the end of the quarter, the domestic rig count began to decline – began to rapidly decline and oilfield operators announced significant capital expenditure reductions for the remainder of 2020. Our CFO, Ben Palmer will discuss this and other financial results in more detail after which I will have a few closing comments.
Ben Palmer: Thank you, Rick. At the end of the first quarter of 2020, RPC recorded impairment and other charges a 205.5 million. These charges, the vast majority of which were non-cash were recorded in connection with the defining of fair value of several of our service lines within RPC's Technical Services operating segment. For the first quarter of 2020, revenues decrease to 243.8 million, compared to 334.7 million in the prior year. Revenues decreased due to lower activity levels and pricing and a smaller fleet of pressure pumping equipment, compared to the first quarter of the prior year. Adjusted operating loss for the first quarter was 13.2 million, compared to an operating loss of 2.2 million in the first quarter of the prior year. Adjusted EBITDA for the first quarter was 25.8 million, compared to EBITDA 40.8 million in the same period of the prior year. For the first quarter of 2020, RPC reported a $0.04 adjusted loss per share, compared to no earnings per share in the prior year. Cost of revenues during the first quarter was 181.9 million, or 74.6% of revenues, compared to 252.4 million, or 75.4% of revenues during the first quarter of 2019.  Cost of revenues decreased primarily due to lower materials and supplies expenses and employment expenses consistent with lower activity levels. Cost of revenues as a percentage of revenues decreased primarily due to higher utilization and efficiency on our operating plates. Selling, general and administrative expenses decreased to $36.5 million in the first quarter of this year compared to $45.4 million in the first quarter of the prior year due to lower employment costs. Depreciation and amortization expense was 39.3 million during the first quarter of 2020, a decrease of 7.6% compared to 42.5 million in the prior year. Our Technical Services segment revenues for the quarter decreased by 27.5% compared to the prior year. Operating results in the first quarter, excluding impairment and other charges reflected a 12.2 million loss compared to the 4.5 million in the prior year. This is due to significantly lower pricing and activity primarily within pressure pumps. Our Support Services segment revenues for the quarter decreased by 21.9% compared to the prior year. Operating profit in the first quarter of 2020 was 1.5 million, compared to 3.1 million in the prior year. On a sequential basis, RPC’s first quarter revenues increased 3.3% to 243.8 million from 236 million in the prior quarter as activity levels increased after the fourth quarter seasonal slowdown, which led to revenue increases in all of our largest service lines. Cost of revenues during the first quarter of 2020 increased by 5.1 million or 2.9% due to higher materials and supplies expense resulting from increased pressure pumping activity. As a percentage of revenues, cost of revenues decreased from 75% in the fourth quarter to 74.6% in the current quarter. This was due to increased utilization and improved operational efficiencies, primarily within pressure pumping. Selling, general, and administrative expenses were essentially unchanged at 36.5 million during the first quarter, compared to 36.8 million in the prior quarter. Our adjusted operating loss of 13.2 million during the first quarter of this year compares to an adjusted operating loss of 17.3 million in the prior quarter. Our adjusted EBITDA was 25.8 million in first quarter, compared to adjusted EBITDA of 23.2 million in the prior quarter. Our Technical Services segment revenues increased by 8.8 million or 4% to 227.7 million, due to higher activity levels. RPC’s Technical Services segment incurred 12.2 million operating loss in the current quarter, compared to an operating loss of 17.2 million in the prior quarter. And the Support Services segment revenues in the first quarter were 16.1 million, compared to 17.1 million in the prior quarter, whereas operating profit was 1.5 million, compared to 1.2 million in the prior quarter. During the first quarter, RPC operated up to 10 pressure pumping fleets, and at the end of the first quarter of 2020, our pressure pumping fleet totaled approximately 728,000 hydraulic horsepower. First quarter 2020 CapEx was 25 million and we currently estimate 2020 capital expenditures will be 50 million, which is approximately 40% lower than we had previously announced. Early in the second quarter, we reduced our salaries and wages by an annualized $60 million through layoffs, furloughs and across-the-board compensation adjustments. We're currently operating three horizontal frac fleets out of two locations that being Odessa, Texas and Seminole, Oklahoma. We also expect to realize cost savings from vendor price reductions.  And with that, I'll turn it back over to Rick for some closing comments.
Rick Hubbell: Thanks, Ben. We share the general industry view that oilfield activity will continue to decline at a historically high rate. Unique among regions downturns, the oilfield is currently being impacted by both an increase in oil production and then a severe decrease in demand. The near-term impact to our operating levels is already more severe and abrupt than the last downturn. Capital discipline has always been at the core of RPC’s culture. More than 20 years RPC has operated its businesses to optimize return on invested capital, while limiting financial risk. Incentive compensation for managers throughout the organization has always been directly tied to ROIC targets above our cost of capital. Despite the challenging environment, we have maintained a debt free balance sheet and ended the quarter with 82.6 million in cash. We will continue to take whatever steps are necessary to endure this downturn and emerge as one of the survivors in our industry. I like to thank you for joining us for RPC’s conference call this morning. And at this time, we will open up the lines for your questions.
Operator: [Operator Instructions] Your first question comes from Cameron Lochridge with Stephens Incorporated.
Cameron Lochridge: Good morning. Thanks for taking my questions.
Rick Hubbell: Sure, Cameron.
Cameron Lochridge: I was hoping we could start maybe on a high level question. I imagine as we progress through this downturn, as people or as companies get leaner and take out costs, we could potentially see another wave of efficiency gains much in the same way we did in the prior downturn. I was just wondering, in you guys' mind, how much more efficient can the industry get? And I know that's kind of an open ended question, but it – I mean, is there much more to gain before we start to plateau [indiscernible] get at?
Jim Landers: Cameron, this is Jim. Interesting question. I think our view is probably that there's not a lot more efficiency to get because efficiency comes – efficiency comes from good processes and good equipment that encounter high utilization. And we can have great equipment, great processes and all kinds of good things going on, but then if there's not high utilization, it will not be efficient. So, that's – I mean, efficiency gains won't happen. So, that's a quick take on it.
Ben Palmer: And I might Cameron. This is Ben. I think what Jim is saying right, and I think from a macro level, I think what businesses will search for, what we are searching for is, you know some eventual clarity in terms of the industry, you know the direction, the size and the ability I think clearly people will create efficiencies reducing their administrative cost and support, but at this point, hard to say where all that will shake out. We're going to be driven by, as we indicated in our call here.  We’ll be driven by trying to achieve outstanding returns on invested capital, and so that's what's going to – that'll drive our decision making over time. You can’t overcome industry demands or competition as it relates to pricing and what you can demand in the market, but we're hoping that, you know, through this process, there will be – continue to be improved discipline and will be again driving for those sufficient returns over a period of time, and we will have our cost structure set accordingly.
Cameron Lochridge: That's helpful. Thank you, guys. And then just turning to the balance sheet and cash flow, I was wondering if you can maybe talk about working capital in 1Q. What you guys saw there and then how you might see that progressing through the year going forward? 
Ben Palmer: Well, during the first quarter overall our working capital and looking at our balance sheet, there was little contribution from working capital, but that does include a large tax refund that we're going to get because of the CARES Act. We will now be able to carry back our 2019 NOL, which we didn't expect that we will be able to as of the end of 2019, but with the CARES Act passing, that now has been increased because we'll be able to carry that back at a higher tax rate, number one; and number two, it will now be a current receivable rather than a than a long-term receivable. So, if you take that out of the equation, our working capital contributed about $30 million during the quarter, which corresponds with the fact that our cash went up as well with our, you know, EBITDA from adjusted EBITDA from operations less our CapEx that reconciles pretty closely to the change in cash. So throughout the rest of the year, obviously it's going to depend on obviously we're expecting declines in revenue, we're expecting to collect from customers, we have no – currently no particular concerns about any receivables. We think we're adequately reserved at this point in time. So, clearly, that'll be a contributor going forward, but it will depend on a lot of factors, but we're working hard to manage our working capital just like we always do. So, I think it will contribute more to cash as we progress through the year.
Cameron Lochridge : Alright. Thank you guys. I’ll turn it back.
Jim Landers : Alright. Thanks, Cameron.
Operator: Your next question comes from George O'Leary with TPH & Company.
George O'Leary: Good morning, guys.
Rick Hubbell: Hi, George.
George O'Leary: Hi. I appreciate all the color so far. I was just curious if you guys could provide a little incremental color on that, just remind us the average active crew count was in the first quarter from a ballpark perspective or how many crews you had staffed? And then where you guys sit today and just based on discussions with customers, how you think that trends through the remainder of the quarter?
Jim Landers: George, this is Jim. Ben said, you know, 10 fleets were active during the quarter. They were up to 10. So, I would say [indiscernible] average and these averages are hard to come up with, but I'd say eight and then he talked about how many we have, or we have now, going in second quarter. It's just a difficult environment to see what sort of customer indications we're getting. We're continuing to work for some people, but this is a historically high rate of decline, and I don't think our customers know, too far into the future. So, unfortunately neither do we.
Ben Palmer: And I'll add George, and we, you know, worked, you know, real hard coming out of 2019 to try to sell some, some higher volume, higher utilization, customer relationships, and we had success with that. I think that's reflected in our financial results. So, we were obviously disappointed to have happened what did happen to us. We felt like we were on a decent foundation and created a decent foundation and had some decent trajectory going forward. A couple of those customers are still working now. So, we're working with them to determine the duration of that work, and they say at this point, they're going to going to continue, but we're going to watch that very, very closely and make sure that we're working at pricing and utilization that's, you know, positively contributing to our, to our results. So, that's something where we'll be watching closely and making that decision together with our customers over the coming months.
George O'Leary: Alright. That's helpful color. And then you guys were one of the first to really kind of jump aboard the attrition train late last year, and start thinking about letting some equipment expire and some E&Ps were throttling back on CapEx. Just broadly across your portfolio not just rack, but including coil, how do you think about attrition today and what to keep, what not to keep? And might we see incremental attrition as the year progresses on the equipment front?
Ben Palmer : As it relates to us, I would say that, you know, we went through a very diligent focused process in the third and fourth quarter of last year. So, our activities here in the first quarter, we know nothing's come up that says we need to take a new look at our fleet. So, we're still pleased with you know, the portfolio. That doesn't mean things won't change as we move forward from here, but at the present time, you know, in our impairment, there was there was nothing for retiring any significant amounts of additional equipment and that's really where we are from an operational location perspective and from a equipment perspective, we have not made any new decisions at this very point in time. Obviously, our focus lately has been on adjusting the workforce and we'll have to continue to watch our activity levels and have some view of what the future is going to hold. And we'll continue to make adjustments as we need to upwards or downwards as the business tells us.
George O'Leary: And I'll sneak in one more if I could there. Could you provide the revenue breakdown by business that you guys typically provide that would be super helpful?
Jim Landers: George, yes, absolutely. This is Jim. So, the percentages I'm about to give are service lines, percentage of revenue that service lines comprised for RPC consolidated. So, our largest service line was pressure pumping, which comprised 39.7% of revenues. Our second largest service line was Thru Tubing Solutions, our down hole tools, motors and services business, which comprised 34.5% of revenues.  The third largest service line was coiled tubing at 6.7% of revenues going down from their rental tools, which is in our support segment was 4.3% of revenues. Nitrogen was 4.1% of revenues. Thanks for the question.
Operator: Your next question comes from Connor Lynagh with Morgan Stanley.
Connor Lynagh: Thank you. Good morning. I was wondering…
Jim Landers: Hi, Connor.
Connor Lynagh: Hi. I was wondering if you could discuss obviously there's not a lot of visibility out there, but could you discuss your costs and effectively what I'm what I'm driving at here is, how able are you to manage to EBITDA, breakeven or somewhere thereabouts as things settle out even with these low activity levels. Can you help us think through variable costs, fixed costs, etcetera?
Ben Palmer : Yeah. I'll let Jim take a [indiscernible].
Jim Landers : Connor, we can tell you a lot more about cost than we can revenues. So, let’s give that a shot. We think with the actions we have very recently taken so already taken our quarterly SG&A will be close to 30 million, which is down from, you know, mid-to-upper 30s, 36.5 million I think it was. So, we've got, you know, we've got that SG&A cut going for us. Some of the other direct costs, you know, regrettably personal that we reduced. Those are kind of hard to grab anyway because they're a bit of a variable cost. And you know when people aren't working, you don't necessarily pay them, but there will be some cost.  Cost reductions in the direct – in the cost of revenues line is just kind of hard to see. I guess the best way to say is that other things equal, margins will be a little bit better with this declining revenue because the actions we've taken to unfortunately, it's hard to come up with. This doesn't relate to EBITDA, but with the impairment charges we took depreciation will be about $14.5 million lower per quarter than has been, but that doesn’t an answer and EBITDA question. I just thought I'd throw that in. So, that's kind of our best look at it right now.
Ben Palmer : I would say Connor, I mean, kind of going back to my previous question. You know, if we knew what revenue was going to be, you know, we'd have more color on that. I think we're just going to again, have to watch and listen to the business and develop some view of the future and based on that, we'll have to continue to make adjustments whether upward hopefully, or downward as we need to based on what the business is telling us and right now, as you could imagine, the visibility is very difficult.
Connor Lynagh: Yes, I appreciate it. It's very uncertain. Maybe one thing to help us think through how things should trend sequentially here, can you give any color on the magnitude to the extent there have been as opposed to just activity declines, but the magnitude of price concessions that you've been forced to give versus you were talking about some input costs deflation? I mean, net, net if we sort of think through your variable costs, are you, you know about similar sequentially, but activity is lower, are you lower by a few hundred basis points, can you can you maybe frame that portion of the of the business for us?
Jim Landers : Well Connor, we have taken a few pricing concessions, but that's not what this downturn is about. This isn't the 2015, 2016 downturn where people took pricing concessions, hoping for a better day to come soon. So, we haven't taken pricing concessions. You know, as a percentage of revenues, you know, we got a little bit of leverage in the first quarter here. You know, mostly it was labor, maybe a little bit of, you know, maintenance and repair and a few things, but there's not, you know there's not a whole lot to…
Ben Palmer : Yeah, I would say – I would add that, obviously, clearly the fourth quarter of last year was a difficult quarter, you know, a lot of noise or no noise. Not much going on in the fourth quarter, but we came out early in the first quarter of this year, and as the numbers indicate, there was some progression, some nice, nice improvements. So at this point, this is all about pulling back, focusing inwardly on you know, what we need to do to restructure the business and look at our costs. And I would say, you know, in terms of color, our pricing, you know, we did have, you know, slight you know, we worked with some of our customers where there was, you know, appropriate utilization and activity levels, a little bit of pricing, but you know, we've been down at that low levels, we're not going down significantly, we need to make sure that we're generating sufficient cash, you know, we don't want to work just to work, especially in this environment. So, we'll be, you know, looking at that very closely being, you know, highly disciplined about, you know, making sure that we're, again, making some positive contributions to our, certainly our overhead and eventually the bottom line. So, fair question, but again, a very volatile time right now that you know, the markets going down one nice thing or one thing that's easier about this downturn than it was in [2015, 2016] is we've arrived in a matter of weeks. It's something that is – no there's not – clearly everything could go to absolutely zero, but we have gotten to a very low level of activity we had already reduced our cost our costs have been reduced further. So, we're down at a low level now before [2015 and 2016]. Obviously, as Jim alluded to, it was just a slow grind over a long period of time not knowing if it was about the bounce back or not. So, how low could we go in terms of pricing and should we be cutting costs deeper knowing that we could get a rebound. This time, it's just a lot more clear. So in some respects, that makes some of the decision making a little easier. So, now it's all going to be about survival and we will survive. I talked about the tax refund. We'll be able to the extent we have operating losses, and in 2020 we'll be able to carry that back. We have plenty of room from a federal carry back perspective to carry back any losses we generate this year back and get $0.35 on the dollar. So, we've got – with working capital 2019 tax refund, 2020 tax refund, we have a lot of liquidity on the horizon. So, we're not concerned about that in the short-term. This is all going to be about, you know, again, the direction of business and how far it goes down. And we'll make again, we'll need to make adjustments as we need to, based on what the business is telling us, our activity levels and what we see in the future.
Connor Lynagh: Got it. Appreciate the color.
Ben Palmer : Sure.
Operator: Your next question comes from Dylan Glosser with Simmons Energy.
Dylan Glosser : Hi, good morning, guys.
Jim Landers : Hi, good morning.
Dylan Glosser : And so last quarter, you guys mentioned that you had just under 10 fleet staffed and you guys just mentioned that you had three horizontal fleets working today, and as you guys have right sized your business, how many fleets do you guys have actually staffed today, as you think about where Q3 and Q4 might go in, in regards to activity?
Rick Hubbell: Well through layoffs and furloughs, we were only staffed for the fleets that are working today. So, we don't have extra fleets sitting around waiting to work in the third or fourth quarter. So, we are limiting those costs so we were only staffing for the fleets that are working to that.
Dylan Glosser : Okay, thank you and just as you think about where margins might go in Q2 and Q3, could you talk about what decrementals you might be expecting in your technical services segment?
Jim Landers: This is Jim. We're probably going to punt on that question because we, you know, we have some idea of the magnitude of the sequential revenue decline. I'm sure you do, and everybody else on this call does as well. And it's kind of hard to talk about where EBITDA will fall out, and therefore, what decrementals might be.
Dylan Glosser : Okay, worth a shot. And I guess, last thing I'll ask then, as far as the $50 million CapEx guide, if you guys are, you know, within the ranges, maybe three to five fleets through the remainder of 2020. Is it kind of think about your pressure pumping maintenance expense? Maybe that falls within the $10 million range for the year? Can you just kind of break out what the remainder of that budget is and do you expect that this $50 million numbers maybe conservative number kind of like what you guys mentioned on the last call around the 80 million? Do you think that this number, you know, has any chance of going lower as we go through Q2 and Q3, just your thoughts around that would be great.
Jim Landers: This is Jim. Your estimate of, you said maintenance expense, but I think you meant maintenance capital expenditures for the pressure pumping fleets that are working. It's probably, you know, that's in the zip code. We, you know, you may be new to our story, but we have a history of maintaining our equipment and being present when times get better. So, we are going to maintain equipment, whether it's coiled tubing fleets or something with our snubbing equipment. So, is 50 million a conservative number? Could it be lower? Yes, absolutely. But and we don't have a list to disclose to you right now, but that's probably a pretty decent number for our CapEx this year.
Operator: Your next question comes from Blake Gendron with Wolfe Research.
Blake Gendron: Hey, good morning. So, it sounds like the order of operations…
Rick Hubbell : Hi, Blake.
Blake Gendron: Hey. So, it sounds like the order of operations from the E&Ps is to shut-in production. You know, we've heard upwards of 20% of Permian production now shut-in. So frac, you know, activity is going to go essentially to zero in the second quarter. And it will take some time to come back, obviously, but when the E&P start to put the shut-in production back on, I'm just looking at your portfolio, maybe not so much in frac, but you know, coil tubing wireline snubbing, maybe in some parts of your dental tools, business. Any play there, any opportunity as these shut-in wells come back on, and you know, could you speak, I guess, to the shape of a potential recovery with respect to your non-frac businesses versus your frac business moving forward? Thanks.
Jim Landers: Blake. This is Jim. Thanks for the question. That is something we're thinking about on the other side of this. I’d add nitrogen to the list of services that you just ticked down. Certainly, if, I'm not an expert on this, I won't pretend to be, but if wells shut-in and you have trouble pressuring it up again or getting into production up to where it was, there are a lot of services you use and our portfolio of services outside of pressure pumping does play into that. So, we've talked about that with the operations folks recently. And that would be – that might be the leading edge of a recovery for RPC before pressure pumping before completions are happening again. So, I wish we have more color for it. I think it's – I think it will probably be good news when it happens. We just don't have a great idea or the shape of the recovery or exactly what you would use of what we do and when that might happen.
Blake Gendron: That's totally fair. I think everybody's keeping things qualitative for now. When we think about you're 720,000 horsepower, I would imagine that, you know, the customers that you are working for asking for redundancy on location, is that true, you know, are the active spreads working now materially larger than they, you know, where say six months ago. And then if you could provide just a breakdown of your 720 with respect to Tier 4 versus legacy Tier 2, and then, if applicable dual fuel that would be, that'd be helpful for us. Thanks.
Jim Landers: Yes. Two of our fleets are Tier 4. Honestly, don't know about customers requesting more redundant equipment on site. On the one hand, I would say we certainly have it and we aim to please so we could bring it. On the other hand, we've got, we've got new equipment in good shape. I don't know how much that's required. And clearly there's an additional cost for having more redundant equipment on site because you have to – there’s fuel expense and then there's, you know, personnel expense. So, we're just going to say unchanged fleet size right now.
Blake Gendron: Got it. And then one more if I could squeeze it in here. You've been pretty conservative stewards of capital over your history. I'm just wondering though, you know, any potential M&A opportunities or is this something you're not even thinking about at this point?
Ben Palmer: Well, as it relates to M&A, it's something we always have in the back of our mind. Now, there's been some, obviously some recent announcements of transactions, I would say at this point, you have a lot of inward focus right now on what's going on and trying to restructure our business. You know, we always have one or two things that are in the hopper that that we're thinking about or talking about, but at this point, yeah, it – we don't view it as a necessary occurrence to survive. So, we're mostly focused on right now on taking care of ourselves and our existing business and taking care of our employees and in trying to determine, you know when things might turn, and you know, a transaction certainly could be a possibility. And as you said, it's not something that we've, we've done a lot of in recent years of, we don't have a lot of goodwill on our books for that reason. And, you know, we're not looking at that as again being a necessary occurrence to, to have us come out on the other side being a strong competitor. So, it's not a top priority at this point.
Blake Gendron: I got you. That's totally fair. Appreciate the time and the commentary. I’ll turn it back.
Jim Landers : Alright. Thanks Blake.
Operator: Your next question comes from Stephen Gengaro with Stifel.
Stephen Gengaro: Thanks. Good morning, gentlemen. I hope everybody is well. So, two things. One, you may have commented on this, I apologize. What does D&A look like in the second quarter after the charges in the first quarter? Can you give us some color there?
Jim Landers : Yes, Stephen, we did mention that, but happy to bring it up again. Other things equal D&A will decline by about 14.5 million per quarter.
Ben Palmer : And that's an estimate at this point [indiscernible].
Stephen Gengaro : Sorry, I apologize for missing that. And then, as – granted the second quarter is a, obviously extremely difficult scenario to make predictions in, but beyond the second quarter as you think about, you know the cost cutting that's gone on, do you think you're sort of incremental and decremental margins or revert to a kind of normal historical level as you kind of get passed the second quarter?
Jim Landers: That's a fair assessment. I think that's right. I guess it comes to, you know, decremental margins. I mean, we're not giving more on pricing. So, it kind of comes down to, it's going to come down to activity levels and timing of any staffing, actions, salaries, and wages, the actions we take either hiring or furloughing or laying off. So, it's difficult to say. Reasonable question, but it depends on a number of factors that are well beyond our control at this point in time.
Stephen Gengaro : Okay, that's it. Thank you, gentlemen.
Jim Landers: Thanks Stephen.
Operator: [Operator Instructions] There are no further questions at this time. I will now like to turn the call back over to Jim Landers.
Jim Landers: Thank you, Ursula. Thank you to everybody who called in, and asked some questions. We appreciate the dialogue. We know it's a busy week for earnings. So, we recognize that, and we appreciate everybody calling in. Have a good day. We'll talk to you soon.
Operator: Ladies and gentlemen, today's conference call will be replayed on www.rpc.net within two hours following the completion of the call. Thank you for participating in today's call. You may now disconnect.